Operator: Good morning, and welcome to Lucky Strike Entertainment's Fourth Quarter 2025 Earnings Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the call over to Robert Lavan, Chief Financial Officer. Thank you. Please go ahead.
Robert Lavan: Good morning to everyone on the call. This is Bobby Lavan, Lucky Strikes Chief Financial Officer. Welcome to our conference call to discuss Lucky Strike's Fourth quarter 2025 earnings. Today, we issued a press release announcing our financial results for the period ended June 29, 2025. A copy of the press release is available in the Investor Relations section of our website. Joining me on the call today are Thomas Shannon, our Founder and Chief Executive; and Lev Ekster, our President. I'd like to remind you that during today's conference call, we may make certain forward-looking statements about the company's performance. Such forward-looking statements are not guarantees of future performance, and therefore, one should not place undue reliance on them. Forward-looking statements are also subject to the inherent risks and uncertainties that could cause actual results to differ materially from those expressed. For additional information concerning factors that could cause actual results to differ from those discussed in our forward-looking statements, you should refer to the cautionary statements contained in our press release as well as the risk factors contained in the company's filings with the SEC. Lucky Strikes Entertainment undertakes no obligation to revise or update any forward-looking statements to reflect events or circumstances that occur after today's call. Also during today's call, the company may discuss certain non-GAAP financial measures as defined by SEC Regulation G. The GAAP financial measures most directly comparable to each non-GAAP financial measure discussed and the reconciliation of the differences between each non-GAAP financial measure and the comparable GAAP financial measure can be found on the company's website. I'll now turn the call over to Tom.
Thomas F. Shannon: Good morning. I am Thomas Shannon, Founder and CEO of Lucky Strike Entertainment. We closed fiscal 2025 on a high note, navigating a turbulent year with resilience and delivering 4% revenue growth despite headwinds in our off-line mostly corporate events business. This summer, we sold more than 260,000 summer season passes and generated more than $13.4 million in pass revenue. Our record- setting season pass program boosted guest visits and also drove meaningful retail spend through targeted value-oriented specials. Pairing high-quality experiences with compelling value is working. Same-store sales strengthened sequentially in each month in the fourth quarter and turned positive in July. Combined with the momentum from our Boomers integration and other recent acquisitions, July delivered double-digit total revenue growth year-over-year. In late July, we were excited to announce the acquisition of two iconic water parks. Raging Waters Los Angeles in San Dimas, California, which is the largest water park in California and Wet 'n Wild Emerald Pointe in Greensboro, North Carolina. Alongside 3 well-known and high-performing or high-potential family entertainment centers, Castle Park in Riverside, California, Boomers Avista, in Vista, California, and Boomers in Palm Springs, California. Collectively, these destinations welcome more than 1.5 million annual guests and further expand Lucky Strike's leadership in our 3 verticals: Bowling, water parks and high-quality family entertainment centers. This acquisition is a bold step forward in our strategy to build the premier location-based entertainment platform in North America. We are ambitiously investing in water parks, family entertainment centers and next-generation bowling concepts. And in early July, we acquired the real estate underlying 58 of our locations across the country for $306 million. By acquiring this real estate, we maximize our flexibility to optimize our capital structure and location footprint. The purchase price highlights the long-term attractiveness of the stable and growing cash flows of our individual locations and highlights the option value of owning these assets. The transaction is immediately accretive to earnings and cash flow. Simultaneously, we are strengthening our leadership team and scaling marketing investments, ensuring we capture the full potential of the markets where we operate. The path forward is clear: sustained growth, elevated guest experiences and market leadership. We remain firmly on track to deliver another year of strong growth both organically and through acquisition. With that, I'll hand it over to Lev Ekster, our President, to share the exciting organic initiatives ahead. Lev?
Lev Ekster: Thanks, Tom, and good morning, everyone. Fiscal '25 was a transformative year for Lucky Strike Entertainment, and we're carrying that strong momentum into fiscal '26. One of the major highlights this summer was our wildly successful season pass program. Membership grew to over 260,000 members, up from 190,000 members last year. Sales exceeded $13.4 million compared to $8.5 million in the prior year. This growth was driven by an incremental marketing spend, applied dynamically each week to the best- performing channels and reinforce with employee engagement tools such as sales trackers, sales contest, and new training videos to sharpen best practices. The program has been extremely well received by our guests, and we plan to continue optimizing it moving forward. We continued to execute on our plan to grow food and beverage attachment. As we've been discussing throughout the year. Food revenue delivered positive 2.5% same-store comps. Alcohol comps were negative 2.7%, and while negative are improving and still better than the overall comp. We saw acceleration coming from the alcohol-free category through innovative releases like our new craft lemonade, which I'll speak more to shortly. We've introduced a new stage gate process for every menu release. It includes training videos for associates, sales trackers and full marketing support, including in-center, social, web and increasingly through influencer campaigns. On the menu side, combos and platters continue to perform well, including pizza and pitcher combos and new platters for bigger groups, including the epic wings and fries platter and the ultimate [ sampler ]. We're expanding those offerings with new options to meet customer demand like a pizza and Margarita pitcher combo and a Taco flight and Bucket of Corona Combo. At the same time, we're launching new trend-driven menu items to stay relevant, such as the honey chicken bowl, strawberry poppy salad, a chopped Chicken Caesar Wrap and a trio of sliders with King's Hawaiian Buns. In our water parks, we're unifying concessions and rolling in signature national partners as well as leading lemonade and ice cream concepts. In our Boomers family entertainment centers, we've enhanced the food program with a streamlined higher-quality menu, new marketing graphics and upgraded items such as burgers, wings, chicken sandwiches, improved pizza and healthier grab-and-go options. On the beverage front, innovation has been a huge win. Our new craft lemonade featuring 3 flavors sold 135,000 units in the first 2 months since launch, generating nearly $800,000 in sales. We're now on pace for a $5 million annualized run rate. A seasonal fall flavor will be introduced soon. Beyond that, we launched Energy mocktail with Red Bull. We're expanding our Zero Proof cocktail program, and we're rolling out shareable drinks in our experiential locations. Looking ahead, a major focus is strengthening our sales and hospitality culture. On sales, every new program now comes with a training video supported by sales trackers and contests. This fall, we'll roll out our new LMS platform to enhance associate training. And just last month, we launched the winner circle, an evergreen in-sensor contest where entire teams are rewarded for comping up in controllable revenue categories. On the hospitality front, our Net Promoter Score is climbing, and we're leading it hard. We're creating a national field trading team, launching enhanced guest service training and sending senior operators to executive education programs. We're also rolling out a quarterly team building initiative to boost morale, camaraderie and tenure across the organization. Finally, in marketing, we're increasing the budget to move closer to industry benchmarks. We're bolstering the team with top-tier talent, and we now see a tremendous opportunity to capture additional market share, especially as our rebrand initiative accelerates. We're already at 55 Lucky Strike locations and we expect to reach 100 locations by year-end. With that, let me hand it over to Bobby to discuss the details of our financial results.
Robert Lavan: Thank you, Lev. In the fourth quarter of 2025 we delivered total revenue of $301.2 million and adjusted EBITDA of $88.7 million. This compares to $283.9 million in revenue and $83.4 million in adjusted EBITDA in the same period last year. Total revenue grew 6.1%, while same-store sales declined by 4.1%. Same-store sales improved sequentially each month in the quarter as well as into July. Breaking down performance by segment. Our retail business remains steady. Our league operations experienced low single-digit growth, and our events business faced a high single-digit decline. Adjusted EBITDA for the quarter came in at $88.7 million, with same-store sales driving an $11 million headwind to the bottom line. Offsetting that were improvements in payroll in the amount of $5 million and reductions in repair and maintenance supplies and services costs by an amount of $2 million. Boomers in our 2 new water parks added $7 million in EBITDA. Geographically, California, which accounts for approximately 20% of our total sales contributed $6 million to the same-store sales decline, which we have spoken about in previous quarters. This was offset by strength in our F&B offerings, both outperforming the same-store comp in the quarter. During the quarter, we deployed $24 million in CapEx, down from $47 million last year as we drove procurement efficiencies and focused on high-return projects. In the quarter, we spent $13 million for growth initiatives, $1 million on new builds and $7 million for maintenance. For this total year, CapEx was $117 million, including a $9 million land purchase down from $195 million last year. Post the quarter close, we acquired 58 properties that we are the tenant on for $306 million. Those properties were carried on our balance sheet at year-end with $33 million of operating liabilities and $269 million of finance leases. In FY '26, you will see lower GAAP rent expense of $3 million and capitalized lease expense of $21 million from the transaction. We remain focused on delivering profitable growth by driving revenues, expanding operating cash flow and increasing free cash flow, including free cash flow per share. For fiscal year 2026, the company is issuing the following performance guidance. This outlook reflects attractive growth supported by organic operating leverage and increased investment in high ROI revenue-generating initiatives. We expect total revenue growth of 5% to 9%, which implies $1.26 billion to $1.31 billion of revenue, which delivers $375 million to $415 million of adjusted EBITDA. Our liquidity position remained strong at $342 million with $60 million in cash. Net debt at the end of the quarter was $1.3 billion, and our bank credit facility net leverage ratio was 2.9x. We appreciate your continued support and look forward to seeing you at our new properties soon. Operator, please open the line for questions.
Operator: [Operator Instructions] Our first question comes from Steve Wieczynski from Stifel.
Jackson R. Gibb: Jackson Gibb on for Steven Wieczynski. So as we exit a somewhat choppy fiscal 2025, the setup for 2026 looks a lot more compelling with momentum going in the right direction and a few meaningful tailwinds in play. However, the midpoint of 2026 EBITDA guidance is the same as our suspended 2025 guidance, which strikes us is conservative. Wondering if you could maybe walk us through some of the assumptions embedded in the new targets and then maybe what drove your decision to go back to giving guidance so quickly after pulling it last quarter?
Thomas F. Shannon: Yes. So I mean, first and foremost, July was positive from both an organic basis and double digits on a total basis. So we're confident after seeing some very choppy numbers in sort of the first half of this calendar year came back. The guidance integrates sort of 2 sort of new components to our business. So one, we are investing more dollars into marketing and that will flow through. And then 2, the assets that we purchased at the end of July are negative for the first 3 quarters of the year and then they flip positive in the June quarter, and makes a bulk of its earnings in the July, August, which flows into fiscal '27.
Jackson R. Gibb: Got it. That's helpful. Just sticking on guidance for a second. Could you help us a little with how you see the cadence playing out between the quarters as we progress through fiscal 2026? You've got the new water parks in system, which you mentioned and ramping. So there should be some changes in seasonality. Also have corporate events becoming a bigger contributor in the second and third quarters, but lack in weakness from 2025. Just trying to get a sense of the puts and takes and if there's anything we need to watch out for in terms of timing.
Thomas F. Shannon: Yes. So we'll have good double-digit growth in the September quarter and the fourth quarter will be $10 million to $20 million higher than the second quarter. So that should kind of get you to where the cadence is.
Operator: Our next question comes from Randy Konik from Jefferies.
Randal J. Konik: Quick question. I guess, Bobby, kind of walk us through your thought process on the events side. You gave us good color on the impact of California as well. Just kind of give us that kind of playbook on where do we kind of see it over the coming quarters, the events side kind of inflecting and then just on the state of California kind of impact there and how that kind of plays out as well over the coming quarters?
Robert Lavan: Yes. So from a cadence perspective, the comp gets very easy starting in September. And so we're seeing -- the business has improved. We had our best month in off-line events. Last month, it's still down. But ultimately, as long as we keep tracking the 2-year stack, that business can go flat starting in end of September into October. The one thing that we're trying to lean into is historically, we've spent -- we've been under-indexed on marketing spend. We are building that team, ramping that spend and we're putting a portion of it towards the off-line events business, we're targeting and using our warm leads to kind of grab market share. is core to that business getting to flat and ultimately inflecting up.
Randal J. Konik: Great. And then maybe for Tom, you've shown a really great ability, obviously, on the bowling side to find assets and lift their profitability dollars, their EBITDA dollars over time, great returns, et cetera. As you approach the portfolio and you add to it around water park -- you add water parks and family entertainment centers. How are you approaching the business the same or different from how you run the bowling business. Just give us some insights on kind of things you take from the bowling playbook and apply to the water park area, the family entertainment sensor area where it could kind of -- you could get some synergies or just kind of use the same playbook to drive incremental profitability in these businesses you acquired?
Thomas F. Shannon: Well, Randy, it's largely the same playbook, right? It starts with making the asset nicer. One of the reasons that we're buying these assets in some cases at 2x forward EBITDA is because they've been neglected and unloved or, in some cases, we're buying assets out of bankruptcy for no good reason. The businesses are fundamentally strong. There's a lot of consumer demand. The replacement cost of these things is usually a multiple of the purchase price. And so it starts with making the asset physically better. We clean it up. We put in new games, we repaint stuff. We fix any deferred maintenance items. And then we execute our playbook of enhanced food and beverage. We focus a lot on package pricing because you'll have multiple elements at, say, at Boomers, there'll be Go-Karts, Mini Golf, Bumper Boats, batting cages and maybe some ride elements. And so getting the come for the day, price right, it's very similar to an amusement part. So pricing and now marketing. Bobby mentioned marketing, but it's important to realize that our marketing spend had dwindled to under 1% of revenue, which was just not enough. And so we're investing in building a marketing team -- a world-class marketing team that will be able to deploy whatever it is we decide the budgeted marketing number should be, but then brand building with those dollars on the Lucky Strike brand, the AMF brand, which we're going to rejuvenate, the Boomers brand, which is relatively nascent for us and then the individual water parks. But to sum up, the playbook for the water parks and the FECs is the same as it has been for bowling.
Randal J. Konik: Can I ask one last follow-up. If you had a crystal ball, let's say, 5 to 10 years from now and you think about the portfolio construction and how, obviously, the last 5 years, obviously almost exclusively bowling. If you kind of think about the pie chart, bowling, water parts, FEC, what kind of -- do you think about the, first of all, looking like or the pie chart looking like, let's say, 5 to 10 years from now?
Thomas F. Shannon: From a revenue perspective?
Randal J. Konik: Just from a bowling versus water part versus FEC, either on a revenue -- yes, revenue perspective, units, et cetera.
Thomas F. Shannon: I would say that you would probably end up with 40% bowling, 40% water parks and 20% FECs. If I had to guess, I've never really thought of this question before, but the thing about the water parks is they're much larger than the other assets. And so you don't have to do nearly as many deals to get to large revenue numbers. For example, we're about to close on Raging waters in -- at San Dimas, which is outside of Los Angeles. And that's a part that in 2024 did $24 million versus our average bowling unit volume of about $3.4 million, right? So about 8x. So you can see how you could scale that business more quickly. But I view this as ultimately becoming sort of a mini Disney. It's funny because I don't think our business gets nearly the respect it deserves, but Disney is going all in on water -- or sorry, on theme parks, including water parks. They're spending $60 billion of CapEx in that business, and that is driving their profitability overwhelmingly as their legacy media business declines. So Disney is leaning heavily into the same business that we're in, that we're heavily leaning into, and I think that's underappreciated in the market. Just how good these assets are, just how irreplaceable these assets are and that you're buying them at a fraction of replacement value or in many cases, they could never be built again.
Operator: Our next question comes from Jason Tilchen from Canaccord Genuity.
Jason Ross Tilchen: Two for me. The first is -- just sort of little bit of a follow-up on the comments around marketing investment. Just wondering how much of this acceleration in comps. You've seen over the past few months, you would attribute to maybe early results from those marketing investments and how much of an increase maybe from a quantitative perspective is sort of contemplated within the EBITDA guidance that you've put out today?
Lev Ekster: Jason, this is Lev. I'll give you a quick example. You saw the results of our summer season pass program. Last year, we did $8.5 million this year, $13.4 million. That came with a $1 million incremental marketing increase. So we can see those dollars really driving results for us. And we look at holistically the entire business the same way. We've really underinvested almost to an anemic amount in awareness, marketing and brand building, we've really focused on performance marketing. And I think the market opportunity right now really affords us an ability to gobble up a lot of market share with increased brand building and awareness marketing. So we want to get much closer to industry benchmarks. Those are 3% plus, maybe we get to like the 2.5% range, but it will be a significant increase to what we've been spending over the years.
Jason Ross Tilchen: Great. Very helpful. And then second one for me, one -- maybe one for Bobby. Wondering if you could -- I noticed you filed a shelf registration this morning. I wondered if you could just share a bit more about how you're thinking about that decision and maybe some of the background there?
Robert Lavan: Yes. So we haven't had a shelf on file since we IPO-ed in December '21, it's purely housekeeping. It's good housekeeping to have a shelf on file. We did raise a bridge loan in July to effectuate the repurchase of 58 properties and to pay down that bridge loan, we have been looking at sort of the unsecured debt market. We had to put that shelf on file to be able to hit that market. The debt markets are on fire right now. But we're still evaluating what our opportunities are there, but there's nothing really planned other than hitting the debt markets at this point.
Operator: Our next question comes from Ian Zaffino from Oppenheimer.
Ian Alton Zaffino: Would you be able to tell us the magnitude of the cadence in the quarter, as far as how much maybe was April down? And how much did it recover? I'm just trying to get a sense of the ramp during the quarter? And then also just one more question about the quarter, is aside from California, are there any other pockets that you're kind of seeing of any weakness and -- because I think some restaurant companies have called out DC, New York and just kind of trying to understand what you're seeing?
Robert Lavan: Yes. So April was minus 6%. May was minus 3%, June was minus 1 and July was better than plus 1 and August is trending similar. So again, the cadence is everything that we've kind of committed to. We're pretty happy -- in the comps, by the way, for -- you guys know the comp for last year was very strong in the June ending quarter. The comp for August is very tough. So we're very happy with sort of the recent performance. From a pockets of weakness. It's all about California. New York is looking good. Now New York is one of our home markets. It's where the company started. We have been leaning into marketing, testing in New York. So I get a lot of feedback from people in New York who see our ads, it's working. So New York is comping positive at this point. Ultimately, California gets a lot easier from a comp perspective, but we're also very focused on inflecting the 2-year there positive. We think that, that is coming in the next few months.
Ian Alton Zaffino: Okay. And then as a follow-up, I just wanted to touch on the F&B side of it. Kind of I guess, mixed signals. And maybe help us understand, is this alcohol thing a trade down to reduce the bill size? Or is it people are truly trading into nonalcoholic options and maybe that's a demographic thing. What are you actually seeing there? And any kind of thoughts?
Lev Ekster: Ian, I think it's unpredictable where society goes with alcohol consumption. We obviously noticed it was softening and rather than just accept it we lean into innovation in the non-alcohol category. So we launched our first ever craft lemonade program and the performance was incredible. So we're going to keep leaning into that. Now that's not to say that we're not going to focus on our alcohol program. We have new signature cocktails launching at the end of October. But innovation has been working for us, and I think we've proven with food and alcohol that were a real option for our guests to eat and drink at our locations. And that's why you've seen food and alcohol outperform the overall comp. So I look back in preparing for this call, last Q4, we set out as a major goal to lean into food and beverage attachment. And I think we've proven that with these results in the last fiscal. I think we're realizing that we can do this through marketing, through enhanced employee training, through innovation on the food and beverage side through offering value to our consumer in the form of combos and platters that are seeing a great attachment. And I think we still have a lot more upside in this program, especially as we convert more Bowlero's into Lucky Strike because inherently, Lucky Strike just -- it's an entertainment concept. And I think eating and drinking there is a lot more accepted than at a bowling alley and we're seeing really outside results there.
Operator: Our next question comes from Michael Kupinski from Noble Capital Markets.
Michael A. Kupinski: Most of my questions have been answered, but I do have a couple here. In terms of location operating costs, they were a little elevated in that quarter. I know there's some seasonality there, and I know that you acquired 58 properties and there's obviously some variances with the parks that you've acquired. I was just wondering, can you kind of give us a trajectory in terms of where you think that is because in the quarter, it was represented about 38% of total revenues. I was just wondering what you think that trajectory might be on an annualized basis?
Robert Lavan: Yes. So in the location operating cost is a $21 million noncash charge. So you have to back that out to kind of get back to sort of normal. So really, ultimately, the percentages are going to be highly seasonal, but it will run where we've been historically over the year.
Michael A. Kupinski: Yes, once you back that out, but it's a little bit elevated, but you're saying that it would be more in the trend line of historic numbers then. Okay. And then in terms of your marketing spend, I kind of want to look back, strangely in the last quarter, Topgolf ran a campaign that targeted bowling customers and was kind of odd that I thought, did this campaign have any effect on your customer base? And are there similarities between targeted demographics between golf and bowling and do you believe that maybe your efforts to move towards upscale dining options or bowling centers that have had an impact on traditional customers? I was just curious.
Robert Lavan: Look, I think, first of all, very few people saw that ad. In fact, I believe after they posted it, they had to take the comments off because they were more so negative towards Topgolf than us. I think I might have backfired and it felt a little desperate. So we don't want to really play in the dirt with them. I just think you should look at their specials and basically giving the product away at this point. It feels like a fire sale. I think the experience is probably lackluster at this point, and we're very much focused on our business and our product, which we feel was obviously superior, and I think the results show that as well.
Operator: Our next question comes from Eric Handler from ROTH Capital Partners.
Eric Owen Handler: Bobby, just wondering if you could sort of drill in a little bit in terms of the guidance revenue range that you have sort of what is that implying for same-store comps versus sort of your new builds and acquisitions?
Robert Lavan: Yes. I mean it implies a positive comp. There's a range between sort of 1 and 5. Right now, we're trending well on that. But ultimately, we want to get to event season before we get more excited about the organic for this year.
Eric Owen Handler: Got it. And then as far as the Lucky -- Bowlero, the Lucky Strike transition, can you maybe give a sense of what type of financial lift you're seeing as the transition occurs?
Robert Lavan: Yes. I mean we -- it's still early. We're at 55 Lucky Strikes at this point. We'll be at 100% by year-end, and we'll sunset the Bowlero brand by the end of next calendar. We invested in marketing in New York, but we also rebranded Chelsea Piers in Times Square, and those centers are comping up, right? So it's a big change in the business. California is still to kind of be rebranded. So sort of as California rebrands, it should create this lift for California. But ultimately, we're getting a lot of trial. But ultimately, the proof will be in the pudding when we get out of sort of summer season pass and we see the organic lift that's happened, which we expect to be a good move to the business.
Operator: Our next question comes from Jeremy Hamblin from Craig-Hallum Capital.
Jeremy Scott Hamblin: So I wanted to drill down a bit on cost structure and also just CapEx kind of non-acquisition CapEx expectations for FY '26. That's question #1. But 2, Bobby, there's been a pretty dynamic change in terms of how the cost structure is presenting now with a higher mix of FEC and water parks. But you've really done a great job of controlling your corporate spend, your SG&A. And so I wanted to just see if you could provide a bit more color on how we should be thinking about kind of COGS throughout FY '26? Historically, that's kind of peaked in Q3, but now with the FECs and water parks, presumably maybe Q4 might be your highest. And then just thinking about where your baseline SG&A expense run rate is at this point. I mean, Q4 was pretty low. Can you help us provide a little bit of color on that?
Robert Lavan: Yes. So on the SG&A side, where we were for the fourth quarter is what you should run through for the rest of the year or for the fiscal '26. We've done a lot of cost cutting. We've done a lot of streamlining. We will be investing in marketing. Marketing flows into the location operating costs. So you'll see a $10 million to $15 million lift there. Ultimately, as we build out our hospitality culture I think that the payroll benefit cost line will grow some. But ultimately, from an organic basis, there's going to be good incremental 50% plus on the positive comp. The drag, as I talked at the beginning of the call, is that the Boomers assets and the water parks, they run negative for most of the year, and then they dramatically over earn, they get to 50%, 60% EBITDA margins in the summer. And so ultimately, as you sort of model that out, you will see that on a revenue basis, fourth quarter ends up being stronger than second quarter, but you're still going to have a lower EBITDA relative to the second quarter because you're having those negative months in April, May, you have a big positive month in June. But I think what gets really exciting is the profitability flow-through that happens in the September quarter.
Jeremy Scott Hamblin: Got it. What is the total annualized cost to operate Boomers?
Robert Lavan: Boomers right now is running close to a 25% EBITDA margin. And excluding the water parks, it's about $40 million of revenue. We think we can get that up over the kind of the next 12 months. But ultimately, we've gone in, invested in processes, systems, rides, maintenance and ultimately, the customer is responding to that.
Jeremy Scott Hamblin: Got it. And then kind of the non-acquisition CapEx guidance for FY '26?
Robert Lavan: Yes. So it's about $130 million. So it's going to be down from where we were this year as we continue to kind of streamline activities, we're really only focusing on high ROI initiatives. So we're going to continue driving CapEx down.
Operator: We have no further questions in queue. This will conclude today's conference call. Thank you for your participation. You may now disconnect.